Operator: Greetings, and welcome to the Ashford Inc. Second Quarter 2021 Results Conference Call. [Operator Instructions] It is now my pleasure to introduce Jordan Jennings, Investor Relations for Ashford. Thank you. You may begin. 
Jordan Jennings: Good day, everyone, and welcome to today's conference call to review results for Ashford for the second quarter of 2021 and to update you on recent developments. On the call today will be Jeremy Welter, President and Chief Operating Officer; Deric Eubanks, Chief Financial Officer; and Eric Batis, Managing Director and Senior Vice President of Portfolio Management. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were distributed yesterday afternoon in a press release.
 At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the safe harbor provisions of the federal securities regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission.
 The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on July 29, 2021, and may also be accessed through the company's website at www.ashfordinc.com. Each listener is encouraged to review those reconciliations provided in the earnings release together with all other information provided in the release. Also, unless otherwise stated, all reported results discussed in this call compare to the second quarter of 2021 with the second quarter of 2020. I will now turn the call over to Jeremy. 
Jeremy Welter: Good morning, and welcome to our call to discuss our financial results for the second quarter of 2021. The I will begin by discussing Ashford's operations and strategy. Deric will then review our financial results for the quarter, and then Eric will provide an update regarding our products and services businesses. After that, we will open it up for Q&A. I want to begin by thanking our associates for their relentless hard work during this unprecedented time. I can't tell you how proud I am of our executive leadership team as well as our associates throughout the country. It's a long year for those of us in the hospitality industry, where we are now experiencing a return in demand and the recovery is here. As we look forward, I'm extremely optimistic about the future of our company.
 We reported strong growth in adjusted EBITDA for the second quarter driven by JSAV, Remington and RED. We're excited to report positive adjusted EBITDA for the quarter for JSAV, our business that was hit the hardest by the pandemic. We have a lot of exciting developments to discuss on today's call. The key themes we are going to highlight today are: first, we have stabilized Ashford trust and secured ample liquidity for that platform with runway for the future. While Braemar is back on offense and growing and continues to be cash flow positive at a corporate level. Second, we continue to see strong results in our third-party growth initiatives. Third, we're ramping up our efforts at Ashford Securities; and fourth, we have a comprehensive asset like business. [indiscernible] the hospitality industry and well positioned for growth going forward.
 As recovery in the lodging industry gains momentum, we are starting to see positive trends in our operating results, and we believe Ashford is uniquely positioned to outperform. This is why back in May for the first time in our 18-years history of running public companies, we provided guidance to the market in terms of what we think the earnings potential is for our businesses over the next 3 and 5-year periods. If you haven't had a chance to review that presentation, it can be found in the Investors section of our website at www.ashfordinc.com.
 We're excited about the growth prospects for our businesses over the coming years. And would love to discuss that with you in more detail if you're interested. Ashford advises 2 publicly traded REIT platforms, Ashford Trust and Braemar, which together owned 113 hotels with approximately 26,000 rooms and had approximately $7.6 billion of gross assets as of June 30, 2021. Braemar is currently benefiting from its focus on the luxury segment and specifically its luxury resorts, which has been the first demand segment to recover and had a solid second quarter operationally. Braemar also recently announced its first planned acquisition of this cycle with 138 room Mr. C Beverly Hills Hotel in Los Angeles, California.
 As we discussed on last quarter's call, Ashford Trust completed a $450 million strategic corporate financing during the first quarter that provides multiple years of liquidity. Ashford Trust has also continued to grow its cash balance, which ended the quarter at $520 million. Additionally, both REITs joined the U.S. small-cap Russell 2,000 index, the U.S. broad market Russell 3,000 index and the Russell MicroCap index, respectively. Looking ahead, both platforms now have ample liquidity with both REITs stabilized and performing well. We believe both are well positioned for the continued recovery of the hotel industry, and we remain focused on our future strategic objectives.
 Remington and Premier continue to execute on their long-term growth strategies. Both companies are benefiting from the improved demand trends we are seeing at our hotels, and we continue to believe that these 2 businesses are well positioned to achieve growth with their third-party business initiatives. Both Remington and Premier have solid reputations in the industry. We're still in the early stages of the growth of our third-party business, we have already seen strong momentum with Remington signing 9 new hotel management contracts with third-party hotel owners and premier signing 27 new third party contracts. Looking ahead, we're extremely excited about the long-term opportunity for third-party growth at both Remington and Premier.
 We formed Ashford Securities in 2019 to be a dedicated platform to raise retail capital through financial intermediaries in the broker-dealer channel in order to grow our existing and future platforms. Our goal for Ashford Securities is to provide the market with highly differentiated alternative investment products. Types of capital raised may include, but are not limited to, non-traded preferred equity non-traded convertible deferred equity and non-traded REIT common equity for future platforms.
 Ashford Securities is ramping up nicely and has recently begun raising capital for Braemar. In its first month of capital raising for Branar, Ashford Securities raised over $2.1 million of Braemar's non-traded preferred stock. This is fantastic result for the first month of operations. And we are excited to pursue a fresh source of capital that will grow all of our platforms over the long term, all with the goal of increasing shareholder value. One of the businesses we are seeing strong growth is Red Hospitality. RED Hospitality & Leisure is a leading provider of watersports activities and other travel and transportation services in the U.S. Virgin Islands, Key West, Florida, and most recently in Turks and Caicos.
 RED had a very strong quarter driven by strong leisure demand in its markets, and RED anticipates that these markets will continue their strong performance in the coming months. In addition, red recently entered into an agreement with Ritz-Carlton Turks and Caicos resort to provide services, including water sports, beach and recreation operations, as well as destination and transportation services to the property. This is a great expansion opportunity for RED, and we're excited about the potential to grow this business at other properties in Turks and Caicos. Additionally, the products offered by Openkey and pure wellness continue to thrive in this environment. As hotel industry strives implement measures to provide a clean and safe environment. Many hotels and guests are seeking automatic check ins, alone and bypass the front desk with keyless entry and secure digital key capabilities. The industry is also seeking enhanced sanitation and air purification standards within the guestrooms. We believe the benefits of Openkey and Pure Wellness offer will position them well to achieve accelerated adoption and growth of hotels nationwide.
 I'm also pleased that Ashford was added to the Russell MicroCap index as part of the Russell annual reconstitution. As the only publicly traded asset manager and service provider in the hospitality industry, we believe the addition will expose Ashford to a wider range of institutions and investors, allowing us to potentially broaden our shareholder base and increase our stock's liquidity.
 Looking ahead, we believe we have a superior strategy and structure that is unique within the hospitality space. We're starting to see the recovery in our industry, and we're also seeing investment opportunities at very attractive unlevered returns that we did not see pre pandemic. We believe there are 4 key areas of growth for Ashford. The recovery of the hospitality industry and higher hotel revenues, an increase in our assets under management, growth of our third-party businesses and the acquisition or incubation of additional businesses. For investors seeking exposure to an industry significantly impacted by the pandemic, we believe Ashford is an attractive option. I will now turn the call over to Deric. 
Deric Eubanks: Thanks, Jeremy. Net loss attributable to common stockholders for the second quarter was $14.7 million. Adjusted EBITDA for the second quarter was $10.7 million, which reflected growth of 235% over the prior year quarter. The growth in adjusted EBITDA over the prior year quarter was led by JSAV with an increase of $3.1 million, Remington was an increase of $2.8 million and RED with an increase of $2.6 million. Adjusted net income for the second quarter was $8.7 million and adjusted net income per share was $1.17. As it relates to our advised REITS, during the second quarter, Ashford Trust continued to make significant progress in converting its preferred stock into common stock and has exchanged approximately 15.2 million shares of its preferred stock, representing approximately 67% of the share count prior to the exchanges into approximately 10.2 million shares of common stock.
 Also, year-to-date, Ashford Trust has raised approximately $478 million from the sale of shares of its common stock. Braemar has raised equity capital of approximately $78 million from the sale of shares of its common stock year-to-date. Braemar has also exchanged a significant portion of its preferred stock for common stock. To date, Braemar has exchanged approximately 2 million shares of its preferred stock, representing approximately 39% of the share count prior to the exchanges into approximately 7.3 million shares of common stock. Braemar also closed on a private placement of $86.25 million aggregate principal amount of its 4.5% convertible senior notes due 2026.
 These capital raises and exchanges have helped shore up both REIT's liquidity and lower their leverage. In terms of financial results for our portfolio of companies, I'll provide some highlights, and then Eric will discuss more details. Lismore recorded revenue of $2.3 million in the quarter related to its agreements with Ashford Trust and Braemar to seek modifications and forbearance for the REIT's debt. This forbearance effort is mostly completed, but Lismore will continue to record this revenue over the remaining term of the agreement, which expires in April of 2022. Remington realized hotel management fee revenue of $6.5 million in the quarter, net loss attributable to the company of $0.5 million and adjusted EBITDA of $3.4 million. For the second quarter, Premier had design and construction fee revenue of $1.9 million, net loss attributable to the company of $2.9 million and adjusted EBITDA of negative $0.4 million.
 OpenKey finished the quarter with 255 hotels under contract, which compares to 236 hotels under contract at the end of the first quarter. This growth was driven by a significant shift in guest preferences with utilization of digital keys increasing by 182% in the second quarter over the prior year quarter, with the majority of guests from April through June, opting to use a digital key when offered. Openkey also reported revenue growth of 63% over the prior year quarter. Financial results for JSAV for the second quarter included revenue of $9.5 million, net loss attributable to the company of $1 million and adjusted EBITDA of positive $1 million. This is the first quarter of positive adjusted EBITDA for JSAV since the onset of the pandemic.
 As of June 30, 2021, we had 7.4 million fully diluted shares of common stock in units, which included 4.2 million common shares associated with our Series D convertible preferred stock. We had 2.8 million common shares issued and outstanding, 0.2 million common shares earmarked for issuance under our deferred compensation plan and the balance primarily comprised of restricted stock. I will now turn the call over to Eric. 
Eric Batis;Senior Vice President of Portfolio Management: Thank you, Deric. We are pleased to provide updates on our products and services businesses, and we are encouraged by their forward momentum established during the second quarter of the year. Our strong results this quarter demonstrate we are delivering upon the strategies and objectives previously outlined, namely, driving third-party sales growth, hiring sales leaders and creating a deep selling culture. In short, we believe the strong performance of the second quarter is setting the stage for future growth. Today, I will spend the majority of our time talking about the quarter as a whole, and it is worth noting that the second quarter revenue generated by the businesses we are about to discuss was 185% higher than the prior year quarter. We are starting to see fruit from some of the sales-focused initiatives established in late 2020. I would compare it to planting seeds, which our portfolio companies have grown and now begin to harvest before starting the process again. These initiatives are fueling an acceleration in the growth and quality of the company's earnings.
 As a reminder, our mandate is to invest in market-leading businesses with seasoned management teams and identify growth opportunities supported by enticing macrodynamics. To explain this strategy more fully, our products and services division is a unique investment strategy in the hospitality industry, where through a multipronged approach, we aim to accelerate growth and create shareholder value through rigorous industry research, the implementation of best operating practices and the execution of bolt-on acquisitions. We are also able to utilize our extensive relationships and refer these businesses to our advised REITs ensuring their hotels receive best in market service with best in market pricing.
 The first business I'd like to discuss is RED Hospitality & Leisure, a leading provider of watersports activities and other travel services in the U.S. Virgin Islands, Key West and Turks and Caicos. I'd like to call particular attention to the month of June, where RED generated $2.6 million of revenue and approximately $903,000 of adjusted EBITDA. Both of these figures represent the highest month ever recorded in the history of the company. Prior to June, both April and May, respectively, were record-breaking revenue months.
 Recently, RED moved into the Ritz-Carlton, Turks and Caicos and began providing activities and services to guests. We are proud to begin our operations at this beautiful new property as Red's first hotel contract outside the U.S. and U.S. territories and are excited about the future prospects for this region. With pent-up demand being released and tourism activity in RED's markets remaining high, we anticipate RED will continue delivering strong results. RED has an exciting future with several near-term organic and inorganic growth initiatives, and we look forward to keeping you updated on their progress.
 Another business that continues to grow is OpenKey, which provides Bluetooth-enabled lock upgrade modules. These modules are incorporated into existing locks at a fraction of the cost of replacing an entire lock system, resulting in significant savings to hotel owners. OpenKey continues to capitalize on growing customer preference for a mobile contactless check in experience. The company posted an impressive second quarter, which included key delivery growth of 182% over the prior year period and 19 new hotel contracts. While OpenKey's operating metrics continue to be robust, the second quarter was headlined by going live at several 4 Seasons properties. We anticipate going live at additional properties in the 4 season system in the third quarter. We also have successfully completed the pilot phase of our agreement with Wyndham Hotels & Resorts and are now focused on adding more Wyndham branded properties. For both of these agreements, OpenKey is providing mobile room key services through the respective brand app, and we continue to discuss similar agreements with other large hotel brands. We are excited about these partnerships and look forward to providing updates in the coming quarters.
 Remington is a dynamic hotel management company, providing best-in-class service and expertise to hotels across the country. Hotel operations continued to stabilize with each passing week and to satisfy demand, Remington has rehired half of its previously furloughed employees and has an additional 687 current job openings.
 CEO Sloan Dean and his team were awarded one verbal and 2 signed third-party management agreements in the second quarter, all of which are expected to begin soon. We look forward to a robust 2021 recovery for Remington as they focus on adding new third-party contracts to their roster of 79 hotels across 15 and 23 states in Washington, D.C.
 Premier provides comprehensive and cost-effective design, development, architecture, procurement and project management services. The company continues to add staff in order to support its growth objectives. One major accomplishment during the second quarter was Premier securing its first student housing project with a top 5 player in the space. By focusing on penetrating both the multifamily and student housing markets, Premier is prime to continue delivering big wins from third party contracts. Premier's second quarter was also highlighted by one new multifamily contract and 4 new hospitality contracts in addition to the previously mentioned student housing contract, collectively totaling $540,000 of potential fees. With its new sales leaders in place and a laser focus on attacking both the multifamily and student housing markets, we anticipate strong performance from Premier as capital investment boomerangs in response to recovering markets and companies begin to deploy capital. Premier has an exciting future and is exploring several inorganic growth opportunities, and we look forward to keeping you updated on their progress in future quarters.
 JSAV is a leading single source solution for meeting and event needs with an integrated suite of audiovisual services, including Show and event services, hospitality services, creative services and design and integration. While JSAV reported positive adjusted EBITDA for the second quarter, they reported $3.9 million of revenue just for the month of June, which was 164% higher than the trailing 11-month average. In addition to an intense focus on operations to return to profitability, the company has continued sales efforts as it was verbally awarded 2 new in-house AV contracts, which we believe should total $1.3 million of annual stabilized revenue. The upward trend in hospitality revenue for the year is another bright spot at JSAV. Hospitality revenue was $2.4 million in June, up 331% since March.
 Sales executives at the company have been hard at work trying to meet the surging influx of demand as groups begin to return to in person meetings, events and conferences. We are optimistic for a continued uptick in sales opportunities as the pipeline for the remainder of 2021 rose 100% from March to the end of the quarter.
 Pure wellness provides wellness applications designed to eliminate viruses, bacteria and other contaminants within guestrooms, offices and public spaces. Pure's second quarter is highlighted by 12 new contracts for its recently launched Pure office technology. Through the first half of 2021, Pure office is now in 25 locations. This technology uses advanced surface protection and purified air to eliminate 99.99% of contaminants. Employees are increasingly returning to their offices and Pure office will give employers and employees alike, comfort in returning to a safe and healthy workplace.
 Lastly, I'd like to discuss Ashford Securities, our retail capital raising platform. Jay Steigerwald and his team continue to build out the organization, and they recently executed the first closing of the Braemar Series E and M non-traded preferred equity offering. To date, 10 selling agreements have been signed, and the Series E and M offering has raised over $2.1 million. Separately, Ashford Securities continues to work on additional investment products that can be sold through the broker dealer channel, allowing us to continue to grow our assets under management, and we hope to have more details around those efforts in the coming quarters.
 We continue to believe there is substantial opportunity for Ashford securities to offer differentiated product structures and strategies to retail investors. In short, we're excited to pursue a fresh source of retail capital that will help us grow all our platforms over the long-term with the goal of increasing shareholder value. That concludes our prepared remarks, and we will now open up the call for Q&A. 
Operator: [Operator Instructions] Our first question is come from the line of Bryan Maher with B. Riley. 
Bryan Maher: So I want to focus on kind of the -- on Lodging component because those numbers tend to flow from our Braemar and Ashford models, as you know. So to that end, on JSAV, we were surprised by the revenue increase in the quarter. Can you talk about what the pace of acceleration might be over the next 12 months? And how long do you think it takes to get back to 2019 levels? 
Jeremy Welter: Yes, Bryan, this is Jeremy. I think that's a difficult question for us to answer. What I can tell you is that week over week, I'm still approving weekly payables for that company, by the way. And so as they're submitted, I get an updated probability adjusted revenue outlook by quarter for the upcoming quarters. And and there was period of time that every week I was getting, and the revenues were coming down as there were more cancellations. And everyone can get that update, more and more revenues are coming in. And what I'm surprised about is the -- in the quarter for the quarter rather than because that we're getting. We received a lot of that in Q2, and we're very surprised and pleased with the revenue that we generated in Q2. And we continue to see that ramp up, still slower than what I'd like to see, but it continues to accelerate. 
 What we've done though, is we've done a really good job of maintaining really attractive margins as we ramp the company back up and keep the cost structure much more efficient than what it was pre pandemic and certainly when we bought the company. As you recall, once we acquired a close in JSAV, we put together a lot of cost optimization plans that we're still in process. We never really get the full benefit of them to early today. But I think we continue to see a good outlook. It's still very difficult to know how that advances. I think that if you listen to the Braemar call earlier today, group pace is basically flat for next year, although that's a decrease in room nights. But still, it's flat year-over-year. And so if we end up with -- I'm sorry, versus 2019, if we end up anywhere close to 2019 levels, and this company ramps up very, very quickly. But I would guess that it's probably 2023 to 2024 recovery to get to pre Pammi levels, if I were to guess. 
Bryan Maher: Great. And as it relates to JSAV and maybe even Remington, how hard is it to bring employees back? I mean we've heard new stories in the media about how so many hospitality employees have moved on to other jobs or careers. Are you seeing that? And what type of incentives do you have to bring people ahead? 
Jeremy Welter: Yes. I don't think I want to disclose our incentives that we're doing to that varies by management company and location, but we certainly are doing those. We're doing centers where there actually are signing on bonuses to bring associates back. We're definitely having wage pressure in many markets where we are proactively increasing the wage scales to attract associates. But specifically as it relates to Remington, I think I quoted yesterday that we're about 10% of our positions are open, which is unusually high for us. And so it continues to be a challenge. It continues to be a challenge to bring associates back to work. And we're just doing the best we can. I don't think it's a pervasive issue in terms of having to close out rooms because we can't serve some, but that has happened, certainly. As it relates JSAV we've had some of our techs that left the industry but the nature of that industry, the audiovisual industry is that a lot of the associates are kind of into the techie show -- services side where they want to put on these productions, and they kind of live and breathe it as a passion. And so while it still is a challenge, I'd say it's probably a little bit less of a challenge right now for JSAV versus maybe the hotel management side. 
Bryan Maher: Okay. Just last for me. On RED. I don't think maybe anybody on this call realized how quickly and profitably that could grow. But can you give us your internal thoughts on how big that can become for Ashford Inc. over the next couple of years? And what type of costs are going to be associated with growing that business? And that's all for me. 
Jeremy Welter: Yes, yes. So in our presentation, we put out a 2025 estimate of $9 million in adjusted EBITDA. And I think that we can well exceed that if we're able to do some acquisitions. And we have a good amount of acquisitions in our pipeline for RED that could really continue to ramp that company up pretty significantly. So I think it could easily be a $20-plus million EBITDA company after we do some bolt-on acquisitions. And in terms of the cost to grow, it usually is typically a 30% cash-on-cash return for most of our investment opportunities. In some cases, it's a 50% plus. I would say that Turks & Caicos will prove out to be a 50% plus cash and cash return. After we get that property ramped up. And so it's a very attractive way for us to invest capital. We do believe we have a proprietary operating platform that is very unique and very scalable from -- not only from a service perspective, from an operating perspective, from a standard perspective, but then also from an e-commerce and revenue generation perspective, we're very efficient on how we get cost effectively passengers in our boats, and we get them the return as they come and stay in the resource that we service. So I think we've got a great business model. We've got a great team, and I'm very optimistic that we will continue to grow that platform, and you'll continue to be impressed with the results that we generate. 
Operator: Our next question comes from the line of Tyler Batory with Janney. 
Tyler Batory: Congratulations on the strong results here. First question I have is a multi-part question. In terms of the investor presentation that you put out last month, you gave some long-term targets, and I think certainly notable for the growth, but also the first time that you've ever done something like this. So can you touch more, if you could, on the process behind coming up with some of those financial targets? And that $85 million of EBITDA by 2025, it's a tremendous amount of growth. How much confidence do you have in that number? How conservative might that estimate end up being? And what sort of macro backdrop do you think is necessary to achieve that target? 
Jeremy Welter: Yes. Sure. I think just taking a step back, I think that as we look, we understand we live and breathe this business. I'm very involved with all of our hotel operations and very involved with all our teams, all our companies. It is a passion for all of us, and we're very excited about what we're doing and what we're creating here. And what we felt like is that if investors knew, well, we know in terms of what we can do with this platform. Then our stock should be trading up higher than what it was before we certainly file this presentation. I think there's still a good amount of upside where we trade today. If you were to project out what we think we could do from an earnings power perspective and then and discount that back to the present value at reasonable trade multiples. I think there's a good amount of upside in the stock. 
 But that's for investors to choose whether or not they agree with that. But we felt like if we could articulate the opportunity that we have with this platform that that was a good service we can do for our shareholders, existing shareholders and future shareholders because this business has been hit so hard by the pandemic that it's hard for a lot of people to see a path to recover the way that we see it. And in terms of where you want to talk about how we layered this in and projected it, we went by each one of the companies. And we have a very detailed model that goes through and projects the assets under management we have at our advised platforms and what amount of capital we can think we can generate at Ashford Securities and then what we think we can do from a third-party perspective. And so we did that, we're going to -- we started with kind of looking at 2 parts of the business, the AUM and third party, but then we do that all on an individual basis by company by company. So there's a good amount of detail behind all of the information we laid out in the presentation. And I think we did a decent job given some of the assumptions. But it is a combination of the recovery. Which we do believe is going to happen. 
 Lodging always comes back, it proves to come back.
 And in fact, if you look at previous recoveries, it tended to come back faster than what industry estimates were. And so I think we're taking reasonable outlook in that recovery and then reasonable projections that we believe are readily achievable, which is what we want to share with the community because this is the first time we've done it. I don't think we're sticking our neck out. I think that we have a high level of confidence that if we execute the way we believe we will execute and the market rebounds a way that we believe it will rebound that we can meet or exceed those numbers. And my hope is that this is something we keep going forward, at least for the time being and update and plan to provide an update in our Investor Day that we mentioned in previous calls, we going to have in October. And hopefully, the numbers maybe are higher. We'll have to see it. I can tell you that the second quarter that we generated today was a nice surprise to us. We didn't think it'd be -- we'd have the level of EBITDA that we were able to achieve. So I think we're confident that we can -- that we're being prudent in terms of our outlook. 
Tyler Batory: Okay. Excellent. I appreciate that detail. And then just a follow-up question. A key part of the growth story here is the third-party business. So I think this is probably something that's worth asking each quarter. Obviously, you're making a lot of progress on that. But just help us put into perspective, how this strategy is going versus your expectations? Any change in the opportunity set versus 90 days ago? And when you look at the cost structure at Remington and Premier, any sort of expectations you're going to need to hire some more people as you start to ramp up that third party business? 
Jeremy Welter: Yes, yes. So we just recently added 1 other team member in the business development side. So if you look at the Remington outlook, I think we're estimating $6 million of third-party revenue in 2025. We were strategically, what I think is reasonably conservative on that estimate. And I would be disappointed if that's all we generated in 2025. So my expectation is that the team does a much better job to attract more contracts than what we're projecting out. We certainly have been very pleased with the progress we've had so far. I think we've announced that we've had 9 signed contracts. We've got a good amount that have also been verbally awarded but are in the contracting phase. And so just starting from nothing during the time of pandemic, I think we're getting a lot of traction at Remington. And I think that -- I don't think that the Remington component certainly is going to be a big part of what we can estimate on the $85 million of EBITDA. And so hopefully, there's some upside in that.
 Moving on to Premier. We projected $7 million in third party revenue. What's interesting there is that I'm surprised that we had 27 contracts so far signed up. And we also have some major renovations that our repeat business area, which I think is phenomenal that we've already got customers who are already so pleased with what we're doing from a renovation perspective that they've hired us on a second one. And they're good piece and great projects for Premier. And so as we continue to kind of expand out, I think there's a good amount of upside. And if we did $7 million in third-party revenue 2025, I'd be disappointed with the team, and I know the team would be disappointed with themselves. The other thing that I think is interesting is that we have tremendously expanded the total addressable market. I think that we've kind of put it out initially in our presentation, mainly geared towards hospitality. But now that we're in multifamily more student housing, those are huge markets. And we're getting a good amount of traction in both. And so when we recently started this campaign, we were just focused on hospitality. This has been a very pleasant surprise that we've kind of been able to find ourselves in multifamily and student housing, which, again, are just massive opportunities for us.
 In terms of RED, RED proven, we can grow third party. So I'm excited that we're able to get that contract in Turks and Caicos with risk growth. And that just is a change for the confidence in our ability to service the resort St. Thomas. Obviously, we own the one in St. Thomas, we don't own the one in Turks and Caicos, and they saw it RED because they wanted to provide the same experience to the customers there. And I think there will be other opportunities in other markets and other resorts to expand without acquisition. And then we also have the ability to acquire. And then the same thing with JSAV, that the business was 100% third-party when we bought it, and we have proven that we can grow that business third party. I think that there's a tremendous amount of opportunity. 
 I think we're very uniquely positioned within that space being the second largest now and being much smaller than the primary provider. And so actually, during the pandemic, we picked up some really nice pieces of business. We've only lost one contract in the hospitality segment. But we've picked up, I think, 4 or 5 nice contracts, nice size contracts that are very exciting for us. And as it stands right now, there's just not a lot of momentum because a lot of the existing hotels are not really biting out audio digital services right now because they're just getting ramped back up. And the last thing on their mind is an AV provider. But as that starts to occur, I do think we'll see a lot more additional growth in terms of adding new contracts. And then certainly, we're what we're doing from a sales services perspective. So I think it is the third-party side, I think that there's a lot of opportunity over the next 5 years. So we're very excited about it. 
Operator: Thank you. There are no further questions at this time. I'd like to hand the call back over to management for any closing comments. 
Jeremy Welter: Yes. Thank you for joining today's call, and we look forward to speaking with you again next quarter. In addition, we will be looking to host an Investor Day in New York on October 12, and we'll provide additional details later. 
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.